Operator: Good day ladies and gentlemen, and welcome to the Westwood Holdings Group Q3 2016 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Sylvia Fry, Senior Vice President and Chief Compliance Officer. Please go ahead.
Sylvia Fry: Thank you. Good afternoon, and welcome to our third quarter conference call. I would like to start by reading our forward-looking statements disclaimer. The following discussion will include forward-looking statements. These forward-looking statements are subject to known and unknown risks, uncertainties, and other factors, which may cause actual results to be materially different from those contemplated by the forward-looking statements. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today, as well as in our annual report on Form 10-K for the year ended December 31, 2015, filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings and economic earnings per share to the most comparable GAAP measures is included at the end of our press release issued earlier today. On the call today, we will have Brian Casey, our President and Chief Executive Officer; and Tiffany Kice, our Chief Financial Officer. I will now turn the call over to Brian Casey, our CEO.
Brian Casey: Thanks Sylvia, and thanks to all of you for listening to today's call. I will begin with comments on the investing landscape from our U.S. value team. Despite a continued belief on many market participants that we would see a sustained period of increased market volatility, the third quarter produced strong performance in equity markets with new all-time highs for major indices including the Dow, the NASDAQ, and the S&P 500. The liquidity backdrop from the global central banks remains in full effect, and their influence continues to be felt in the form of lower risk premiums and higher multiples. This also translated into the S&P 500 being unusually stable with a string of 44 straight days without a move greater than 1% in either direction. That changed somewhat heading into September, as the Fed came back into investors' focus. However at the most recent FOMC meeting the Fed left rates unchanged, and continued on their previously laid path of lower for longer. Despite little evidence of higher earnings estimates resulting from improving operating fundamentals, the top performers in the U.S. equity market continue to be low quality, high beta, and smaller more volatile names. Despite posting positive absolute returns, relative performance of Westwood's U.S. value equity strategies lagged their respective benchmarks during the quarter. While Westwood has focused on high quality companies with strong balance sheets and attractive evaluations, remains out of favor for the moment. We remain committed to our time-tested investment philosophy and our conviction in the long-term benefits of active management. Performance for our multi-asset strategies continues to be competitive. These outcome-focused strategies remain in a secular investor demand trend within our industry. Another bright spot in our U.S. value strategies were MLPs, which posted another quarter of positive performance, and remain one of the best performing asset classes on a year-to-date basis. Moving to our global and emerging markets equity team, non-U.S. markets behaved similarly to the U.S. market during the period. After initial concerns over the impact of Brexit and the future outlook of the global economy abated, we saw a return of the risk on market environment. While developed market returns tapered off as we entered September, emerging markets continued their strong performance with a return of 9% for the third quarter. All of Westwood's global equity and emerging market strategies remain ahead of their perspective benchmarks on a year-to-date basis with most in the top quartiles of their peer groups. Among these strategies, the global equity strategy provides the best relative performance within the third quarter, continuing the strong rebound we have seen in the performance over the past year. With global equity continuing to be one of the largest asset classes for investors around the world, performance of our global equity strategy has the potential to deliver meaningful growth for Westwood over the longer term. In addition, we expect to see more opportunities for growth in our three emerging market strategies as their three-year peer group rankings continue to improve. As we move into the last quarter of 2016 our team expects to see a continued market volatility pickup with mixed and at times contradictory economic indicators making for an uncertain short-term investment environment. However it is this type of environment that has typically been favorable for long-term bottom-up investors, like Westwood, to find interesting investment opportunities and generate outperformance. Finally, from an investment team perspective, our global convertibles team has seen their asset class perform well with U.S. convertible bonds leading the way. Convertible issuance has been robust, and well above expectations that the traditional summer slowdown never materialized. Through September, the market is on pace to deliver 60 billion of issuance, which is on pace to match 2015 levels. Convertible valuations are still theoretically cheap as a whole but not at the extraordinary levels of undervaluation we saw in the first quarter of the year. Over the quarter performance for our liquid alternative convertible-focused strategy, known as market neutral income, remains strong on both an absolute basis as well as relative to its peer group. It is the least equity-sensitive of all of Westwood's offerings. This was once again evidenced during the quarter with strong performance during equity market pullbacks. Our long only convertible strategy lacked its benchmark during the quarter, so it remains well-positioned relative to other global convertible funds. During the quarter the most significant news within the team was confirmation of their employment as sub-advisor of the approximately $800 million Aviva Global Convertibles Usage Fund, a Luxembourg-based fund offered by Aviva Investors to non-U.S. investors. The assets will be included as assets under advisement until such time as the Luxembourg fund regulator approves the move to sub delegation. At that point the assets will be categorized as assets under management. This appointment reflects an extension of our long-term strategic partnership with Aviva Investors as they have previously had appointed us to manage another of their funds in 2014. Turning now to distribution, I'll start with our institutional business. Over our history we've focused heavily on building relationships with the institutional consultant community. Today we have clients in common with approximately 60 of those consultants globally. We've worked hard to ensure that the market is aware of our broad capabilities across our multi-investment team structure. We believe that pairing our consultant efforts with a dedicated focus on direct plant sponsor sales in the U.S., and increasing our footprint overseas will provide us with strong long-term growth opportunities. With that in mind, we recently entered into a partnership with a leading European-based third-party marketing firm, Cardinal Partners Global. The team comprises a group of senior distribution professionals with experience in growing usage and sub-advisory businesses in Europe. Their presence initially in six continental European markets will supplement our own existing fly-in-fly-out distribution model. This news, along with the announcement of the Aviva sub-advisory business shows our commitment to continuing to expand and diversify our global client base. In addition, we expect to see additional flows from non-U.S. clients in the fourth quarter. From a product management perspective, the coming quarters will see a number of institutional strategies that we'd launched in 2013 and 2014 establish their three-year track record, this most recent quarter saw the third anniversary of our emerging market SMid strategy. We expect to see demand increase for smaller cap emerging market strategies as investors seek access to more domestic consumption growth in emerging economies. While three-year track records don't automatically result in increased demand profile, we do feel that the higher conviction nature of the strategies we've launched, combined with a good start to these track records positions us well for the future. Despite enduring the same broad headwinds facing the mutual fund industry, and particularly actively-managed equity mutual funds, the Westwood Funds, our mutual fund business is fairing relatively well. Total net outflows were less than $10 million in the third quarter, compared with outflows of $43 million in the second quarter, and $71 million in the first quarter. In fact, during the most recent quarter, flows would've been positive if not for one significant redemption by a single investor from our SMidCap Fund. Our flagship multi-asset fund, Income Opportunity, had net inflows of $53 million during the period, and has now had six consecutive months of positive flows. As mentioned earlier, we believe this outcome-focused multi-asset strategy will continue to attract inflows from both institutional and advisor-sold markets. In addition, we feel positive about the sales prospects for a couple of our other high-conviction equity strategies, including small cap value and emerging markets. Both strategies have performed well on short and long-term measures. They have strong ratings from fund rating agencies, and both operates in parts of the equity market that continue to see value-added performance from active management. Total assets within our private wealth businesses remained broadly flat for the quarter. While client retention rates remain very high, we had one larger client loss during the period. This was a corporate pension plan that was invested in our Westwood Trust for mutual [ph] funds that has decided to implement an LDI strategy by increasing their long-duration fixed income allocation as they look to hedge their liabilities. The pipeline across our three private wealth offices remains positive, but the pace of decision-making remained slow as high net-worth investors remain cautious over the election outcome and the changes that may subsequently occur. We continue to believe that the serviced products and diversification that we create cannot be replicated in a passive manner. Wealthy individuals want to maintain and grow their wealth. They need retirement planning services more than ever given their reality of likely lower long-term returns. In fact, in our Houston office we're adding a second financial planner to assist with their long-term planning. We're looking at ways to broaden our array of services in Dallas and Omaha, while improving accessibility via a digital platform. From a corporate development perspective, we have continued to evaluate opportunities to expand our private wealth segment through the acquisition of culturally aligned businesses in strong geographic markets. We're thoughtful about our use of shareholder capital for expanding our business through acquisitions, and will only invest in the best opportunities that we discover and pass through our evaluation process. These discussions tend to be longer term in nature, in line with how we think about the overall private wealth segment. While the environment for the investment management industry continues to be more competitive we feel that many of the decisions we've made in recent years allow us to look forward confidently. We are pleased to announce an increase to our dividend, which we have done every year since we became a public company over 14 years ago. It is our long-held belief that sharing dividends with shareholders who believe in our business is in everyone's best interest. While none of us know what the future holds, we do feel that the combination of high performing investment teams, broaden global distribution, thoughtful product development, and a top tier operational infrastructure puts us at a competitive advantage versus other midsized firms. I'll now turn it over to Tiffany Kice, our CFO, for comments on our financial results, and then we will take your questions.
Tiffany Kice: Thanks, Brian, and good afternoon everyone. Today we reported total revenues of $31.8 million for the third quarter of 2016, compared to $32.5 million in the prior year's third quarter. The decrease is primarily attributable to a $1.5 million decrease in asset-based advisory fees resulting from lower average assets under management as compared with the prior year third quarter. Net income was $5.9 million or $0.72 per share, compared to $7 million or $0.87 per share in the prior year third quarter, with the decrease in asset-based advisory fees having the strongest impact. Economic earnings in non-GAAP metrics was $10.6 million or $1.30 per share compared to $12.4 million or $1.55 per share the prior year third quarter. Firm-wide assets under management totaled $21.3 billion at quarter end, and consisted of institutional assets of $12.2 billion, or 57% of the total, private wealth assets of $5.3 billion or 25% of the total, and mutual fund assets of $3.8 billion or 18% of the total. We experienced market appreciation of 637 million for the quarter, partially offset by net outflows of $337 million. Additionally, as Brian mentioned earlier, we received an $800 million inflow into assets under advisement upon our appointment in September as a sub-advisor for the Aviva Investors global convertible fund, further enhancing our partnership with Aviva. Our financial position continues to be solid, with cash in investments at quarter end totally $80.5 million, and a debt-free balance sheet. We are pleased to announce that our Board of Directors approved an increase in our quarterly cash dividend of 9%, increasing it from $0.57 to $0.62 per share. The dividend will be payable in January 3, 2017, to stockholders of record on December 9, 2016. This represents an annualized dividend yield of 4.9% at yesterday's closing price. We encourage you to review our investor presentation we have posted on our Web site reflecting third quarter highlights, as well as a discussion of our business, product development, and longer term trends in revenues, earnings, and dividends. I'll now turn the call back over to Brian to conclude.
Brian Casey: Thank Tiffany. If anybody has any questions, if you'll let the Operator know.
Operator: [Operator Instructions] And our first question comes from Mac Sykes of Gabelli. Your line is now open.
Mac Sykes: Good afternoon everyone, and first off, congrats on the cowboy start to the year. It's great.
Brian Casey: Thank you, Mac. We have a mark up with them.
Mac Sykes: I have a couple of questions, Brian. First of all, a technical one, in terms of the upcoming quarter, how should we think about the economic impact on fee revenue as you transition the $800 of AUA to AUM?
Brian Casey: Yes. So as I've said in the last call when we anticipated this new business, it's a sub-advisory piece of business, so it's going to be lower than our average fee, and the process of sub-delegation could take all the way up until the end of the first quarter before that's done. Things move pretty slowly over there, post Brexit, it's difficult to get legal documents and things moving very quickly, but it will move -- the economic impact going from assets under advisement to assets under management is nothing. It doesn't make any difference with simply a categorical move. The impact of the asset is meaningful mostly because it allows our global converge team to reach the kind of scale [ph] they need to get more visibility as they are out marketing to new customers.
Mac Sykes: Okay. And then with this new partnership, could you provide some more color on why you choose this specific group, what products you are looking to leverage through them at this time, and have they identified any immediate [ph] channels of opportunity?
Brian Casey: Yes. So we have examined for the last year and a half and really studied the best way for us to target Europe and really a number of countries around the U.K. And we've been using a two case model, fly-in-fly-out. That's inefficient, but it's also less expensive than opening an office on Downing Street in the middle of London. So we decided we would look at third-party marketing firms. We met these guys over a year ago and spent a long time negotiating with them. They're all seasoned veterans, and they have a lot of good contacts throughout Europe. And the primary thrust of their efforts is going to be for the global converts guys, because they have historically had a lot of business in Europe. As you know, they have one time managed $5 billion for customers primarily in Europe for Aviva. So there is a lot of folks that know them, and we have actually turned over a lot of our leads to them. So I think there are some low-hanging fruit there for them to get started and hopefully have some near term success.
Mac Sykes: Okay. And then, this week we've heard a lot from different management teams about the impacts and implications of the changes from DOL, I was wondering if you could weigh in on industry changes from Westwood's perspective.
Brian Casey: Yes. So it's obviously a big challenge for the industry to prepare for next April. For us, I guess the good news is we've historically had a lot more institutional customers than retail customers, so we don't face a lot of the same challenges that the wire houses do, or that a lot of managers who have been with the wire houses do. One great benefit that we've learned throughout this discovery process is that our trust company is actually one of the only areas that is exempt from the DOL rule. So we can continue to offer our common trust funds to our customers under that exemption. So that's actually a real positive for us that we have earned.
Mac Sykes: Just a follow-up on that, so do you think there is a decent opportunity then around that giving what could be some money in motion in the next couple of quarters, is that the place you could leverage?
Brian Casey: Yes, it's hard to say, I mean I think it's definitely an advantage. It's obviously not easy to go and start a trust business especially one that is now 20 years old in the case of Dallas, and even longer than that in the case of Houston and Omaha has been around for over a decade. So these businesses are not easy to get going. So I think the various entry are higher. So we have an advantage there. As far as money and motion, it's hard to know exactly what's going to happen, but we think we have a compelling product that's well priced. We give people diversification custody. We can do their benefit checks. We can provide a lot of services that give us an advantage over somebody that's simply offering funds.
Mac Sykes: Okay. Thank you very much.
Brian Casey: Thanks for your questions, Mac.
Operator: Thank you. [Operator Instructions] And our next question comes from Brian Alexitch of Greenwich Investment. Your line is now open.
Brian Alexitch: Hi, Brian. Hi, Tiffany. How are you?
Brian Casey: I am good. how are you?
Brian Alexitch: Doing well, thank you. You commented that -- so you would have had net inflows, not for one large redemption, I have -- can you comment on just the AUM concentration on your top 10 or top 20 clients? Then the second part of the question is…
Brian Casey: Yes, so…
Brian Alexitch: Sorry, go ahead.
Brian Casey: I'm sorry. We thought you are done yet, second part of the question.
Brian Alexitch: The clients that did have market redemption, did they provide you any feedback with why they are releasing or withdrawing some assets or…
Brian Casey: Yes. So just to be clear, the flows to our trust company would have been closer to positive had we not had this one withdrawal. And withdrawal had to do with the client to -- it has been with us for a long time and it was a pension plan. And as pension plans approach the level where they become nearly fully funded, many of them choose to consider an LDI option where they take the utilized fixed income to immunize the rest of their liability. And that's simply all that happened there. We do not have an LDI product, which we did, but that was the rationale. And then as far as concentrations that's listed in our K, we historically have not had you know -- it's not, we are not like a lot of firms whether 10 clients that make up the bulk of the assets, we are very well diversified, you know, probably our biggest client is not even -- is under $1 billion. I'll check and verify that, but I'm pretty sure that that would be on the high-end for us.
Brian Alexitch: Okay, great. Thanks for taking the questions. Have a good rest of the day.
Brian Casey: And you do the same. Thanks for your questions.
Operator: Thank you. And that concludes our question-and-answer session for today. I'd like to turn the conference back over to Mr. Brian Casey.
Brian Casey: Okay. There are no further questions in the queue?
Operator: There are no further questions.
Brian Casey: Okay. Well, thanks everyone for participating. We appreciate your support.